Operator: Good morning, ladies and gentlemen, and welcome to the Brinker Fourth Quarter 2014 Earnings Conference. [Operator Instructions] It is now my pleasure to turn the floor over to your host, Chris Bremer. Sir, the floor is yours.
Steven Chris Bremer: Thank you, Dana. Good morning, everyone, and welcome to Brinker International's fourth quarter fiscal 2014 earnings call, which is also being broadcast live over the Internet. Before turning the call over, let me quickly remind you of our Safe Harbor regarding forward-looking statements. During our management comments and in our responses to your questions, certain items may be discussed, which are not based entirely on historical facts. Such items should be considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. All such statements are subject to risks and uncertainties, which could cause actual results to differ from those anticipated. Such risks and uncertainties include factors more completely described in this morning's press release and the company's filings with the SEC. On the call, we may refer to certain non-GAAP financial measures that management uses in its review of the business and believes will provide insight into the company's ongoing operations. Reconciliations are provided in the tables in the press release and on Brinker's website under the Financial section of the Investor tab. Consistent with prior practice, we will be silent on intra-period sales or other key operating results yet to be reported as the data may not accurately reflect the final results of the quarter referenced. On our call today, you will hear from Wyman Roberts, Chief Executive Officer and President of Brinker International; and Marie Perry, Interim CFO, Controller and Treasurer. Following their remarks, we will take your questions. Now I will turn the call over to Wyman.
Wyman T. Roberts: Thank you, Chris, and good morning, everyone. Thanks for joining us on the call today. For the next few minutes, I'm going to share company results for the fourth quarter and full year, take you through some of our brand highlights and then share my thoughts about the upcoming year. Then I'll pass it over to Marie Perry for an in-depth look into the numbers. But before we begin, let me briefly review the other gains and charges we took in the fourth quarter, which includes a charge of $39.5 million related to various litigation matters, including a class action litigation pending in California since 2004. This California litigation has resolved many of the legal standards for meal periods and rest breaks in all California restaurants, and the parties have now reached a preliminary settlement to resolve all claims. We anticipate the net cash outlay on an after-tax basis to be approximately $24 million in the third quarter of our fiscal '15. And since this is only a preliminary settlement agreement and remains subject to court approval, we won't be able to comment further at this time. So as you saw on our press release this morning, Brinker reported fourth quarter earnings per share before special items of $0.85, representing a 10.4% increase over the same quarter last year. These results reflect a solid quarter for Brinker. We ended the fiscal year with earnings per share of $2.71, representing a 15.8% increase year-over-year and our fourth consecutive year of double-digit EPS growth. So let's talk about Chili's. Q4 was Chili's strongest sales quarter of the year, with positive comps of 2.5%. In fact, in terms of taking share from the category, we achieved our biggest gap in over 2 years, and this gives us confidence our strategies are paying off. The first half of the year did start off softer than planned, but we were able to steadily improve our top line growth for a strong finish, resulting in positive comp sales of 0.6% for the full year. And this is the third consecutive year of positive comp sales for Chili's. As we look ahead, the key to Chili's continued success is growing sales and traffic to initiatives that drive relevance and differentiation. Critical to achieving this is our culinary innovation pipeline. This year, we introduced our Fresh Mex platform in quarter 3 and expanded it in quarter 4 with the addition of our table side guacamole and our new mix-and-match fajitas. This has significantly increased the number of guests eating Fresh Mex and further differentiated us from our casual dining and bar and grill competitors. So looking ahead, expect to see new additional Fresh Mex menu items early this year, a new platform later in the year and improvements in quality and relevance in many of our core food items as we continue to renovate and innovate the menu. The food innovation pipeline is full and strong and poised to drive traffic. Another way we're differentiating the Chili's brand is leveraging technologies to enhance our guest dining experience. If you think about the sales drivers of our technology journey, we start in the back of the house with new equipment and cooking procedures, our Kitchen of the Future. That enabled our guests to enjoy better quality, more consistent food and opened up new possibilities for culinary innovation. Then we move to the front of the house with Ziosk, further improving the guest experience by providing tabletop entertainment and enabling them to control their pace more by ordering drinks and desserts, and even paying their check all at the table. We now have Ziosk in all our company-owned restaurants, giving us the largest network of tabletop devices in the country. And we're building on this foundation by investing in additional guest-centric technology that is -- such as an approved to-go online and mobile experience. And later this year, Chili's will launch a unique loyalty program that will utilize our guests' mobile devices and interface with our Ziosk network. We're excited about the opportunity this will create for us to engage our guests on a more targeted basis. We're also driving incremental revenue with a new grocery line of frozen Chili's at home entrées. We partnered with Bellisio Foods to create a high-quality product line of entrées not found in our restaurants. These are now available in more than 13,000 retail locations, including all Walmart stores. There are currently over 20 SKUs, with more under development. The rollout is just being completed, and we'll have more specifics to share with you on our October call. On the restaurant development front, we opened 10 new company-owned Chili's restaurants in the U.S. in fiscal '14. And collectively, sales volumes are higher than the company average and returns are above our hurdle rate. This year, we plan to open another 8 to 10 new Chili's in the U.S. We've also designed a set of new smaller Chili's prototypes that open up additional site opportunities for us and our franchise partners. An example of how we're leveraging these new development options is happening next month, as we open 2 new Chili's in Las Vegas. The first is a new smaller prototype, which our franchise partner is building in the airport. It's about 2,000 square feet, but delivers the Chili's brand exceptionally well. The second is in the heart of the Strip. It's our first ever Strip location. It's going to be a flagship restaurant with a unique Las Vegas beam design, and one of the biggest patios on the Strip. It will be a great place to drink margaritas, eat some fresh guacamole and take in the sights. We project both will be high volume, and serve as billboards for the brand to the millions of consumers who pass through Las Vegas each year. Turning to our franchise business. Sales were up 1.4% in the fourth quarter, which outperformed the industry as well. Our franchise partners are aligned with our sales-driving initiatives. Kitchen of the Future and Fresh Mex are in all their restaurants. They're finishing their Ziosk installations and are committed to the reimage program. Most importantly, our franchisees want great restaurants, and key members and guests are receiving a consistent experience whether they are in a company-owned or franchised location. Our global franchisees ended the quarter with positive 0.8% comp sales and an increase of 1.6% for the year. That's 18 consecutive quarters of positive comp sales internationally. We've had many accomplishments during the year. We built 32 restaurants, finishing the year with 307 in 30 countries and 2 territories. And in fiscal '15, we plan to open another 35 to 39 restaurants. We successfully integrated the Canadian restaurants into our company-owned system and have begun reimaging those restaurants. We believe Canada continues to be a growth opportunity for us, with 1 new opening last year and 1 planned this year. We've also begun our Kitchen of the Future initiatives worldwide. 50 restaurants are now retrofitted, with 2/3 of the global system to be completed by the end of the fiscal year. The Chili's brand continues to be strong all around the world. We appreciate the support, commitment and alignment from our franchisees, and we look forward to continuing strong results with these partnerships. Now let's turn to Maggiano's. In quarter 4, Maggiano's delivered its 18th consecutive quarter of comp sales growth, ending the fourth quarter with positive 0.9%; and year, positive 0.6%. The Maggiano's team continues to optimize their business model, opening the door to consistent profitable new restaurant growth. In fiscal '14, we relaunched growth at Maggiano's with a new prototype that excludes banquet space. Our first opening was in Annapolis, Maryland in the second quarter and the second opening is in the fourth quarter in Columbia, Maryland. Guest reaction to these new restaurants is encouraging, and we are confident that they will deliver targeted returns. In fiscal '15, we've already opened 1 new restaurant in Chicago, and we'll open another restaurant on the West Coast by Labor Day. And we are targeting a total of 4 for the year. And in September, Maggiano's will officially launch a new menu featuring a lighter take on traditional Italian fare. Our guests tell us they want traditional Italian items with reduced calories, and we've delivered. Maggiano's continues to be one of the strongest brands in the industry and shows significant potential for a bright future. And now let me turn the call over to Marie to walk you through the financials.
Marie Perry: Thanks, Wyman, and good morning as well. As you just heard, our fourth quarter earnings per share before special items was $0.85, representing 10.4% increase over the same quarter last year and continuing the year-over-year improvements we've seen since we started our plan to win back in fiscal 2011. We ended the fiscal year with earnings per share of $2.71, which is 15.8% higher than prior year and representing our fourth consecutive year of double-digit EPS growth. Fourth quarter revenues were $759 million, an increase of 3.9% over prior year. Total company-owned comparable restaurant sales increased 2.3%, driven by 1.3% price increase and a 1.3% improvement in mix. Capacity was up 1.5%, driven primarily by the addition of company-owned Chili's restaurants in Canada at the end of fiscal 2013. Franchise and other revenues were up $23.7 million, an increase of $2.8 million over prior year, primarily driven by the impact of Ziosk. U.S. franchise comparable restaurant sales increased 1.4% and International franchise comparable restaurant sales increased 0.8%. And we opened 17 net franchise restaurants during the past 12 months. Let's pause for just a moment so I can explain the accounting for Ziosk and the impacts on revenue and expense, in restaurant expense. We leased tabletop devices from Ziosk, which is recorded in restaurant expense. The gaming revenue from these devices is recorded within franchise and other revenue. Because the gaming revenue is not within company sales, in general, restaurant expense as a percent of sales should be about 25 basis points higher than periods prior to the installation of Ziosk. Now let's continue to walk through the fourth quarter results. Cost of sales decreased 10 basis points from prior year to 26.8%, driven by 30 basis points of menu price and 30 basis points of favorable mix associated with menu changes, better waste control and lower oil usage related to the new fryers. These improvements were partially offset by unfavorable pricing in cheese, avocados and lime, which are market-based, coupled with higher seafood costs. Restaurant labor was flat to prior year, with benefits of leverage on higher sales offset by slightly higher hourly overtime training and manager salaries. Restaurant expense was $8.4 million or 30 basis points higher than prior year, largely as a result of increased accruals and advertising spend, higher preopening costs from the new restaurants, and Ziosk rental fees, partially offset by leverage on higher sales. Depreciation expense increased $2.5 million to $35.2 million, continuing the trend towards a higher level of expense due to the recent investments in key capital initiatives and the addition of 11 company-owned restaurants in Canada, partially offset by an increase in fully depreciated assets. General and administrative expenses were $33.3 million, an increase of $1.1 million, driven by technology expenditures in support of long-term sales driving initiatives and tax consulting costs. Other gains and charges in the fourth quarter consisted primarily of the $39.5 million charge related to litigation matters that Wyman discussed earlier. Interest expense was about $1.1 million lower than prior year, driven by higher debt balances last year, which occurred as the result of the issuance and redemption of our senior notes. Tax rate before special items was 110 basis points higher than the prior year at 29.4%, driven primarily by an increase in reserves for uncertain tax matters. Capital expenditures for the year were $161.1 million, with year-over-year cash flow from operations of $359.8 million. During the fourth quarter, we completed the final rollout of our new fryers. And to date, we've also completed about 80% of the reimages to the company-owned Chili's system. We will complete the remaining reimages by the end of fiscal 2015. We ended the year with approximately $58 million of available cash on our balance sheet. During the quarter, we bought back 935,000 shares for $47.8 million. This brought our fiscal 2014 total share repurchase to roughly $240 million or 1.5 million shares, leaving an outstanding authorization of about $307 million. When combining the total effects of our share repurchases and cash dividends of $63.4 million, we returned a total of approximately $303 million to shareholders in fiscal 2014. So with fiscal 2014 behind us, let's look ahead to fiscal 2015. We expect earnings per diluted share of $3 to $3.15. This range represents a year-over-year increase in earnings per share of 11% to 16%, with EPS growth in the second quarter above this range as we lack the harsh winter weather in fiscal 2014, Christmas moves to the third quarter in 2015 and we get the full benefit of the menu price increase taken in the middle of the second quarter of fiscal 2014. Now let's take a look at the highlights that we project around revenue and expenses by category. We expect company-owned sales to increase between 1% to 2%, company-owned restaurant capacity growth of about 1% and an overall Brinker revenue increase of approximately 4%. The revenue increase assumes between 1% to 2% price and a franchise and other revenue increase of about 15%, primarily due to Ziosk, coupled with royalties and other new Chili's retail products. We expect an overall improvement in restaurant operating margin of 25 to 50 basis points, driven by leverage on higher sales, continued efforts to control food costs, the full year impact of our new fryers and labor productivity efforts. These favorable impacts will be partially offset by minimum wage and health care pressures, the full year impact of the Ziosk rental fees and a slightly unfavorable commodity inflation. Currently, 66% of our commodities are contracted through the end of the calendar 2014 and roughly 14% are contracted through the end of the fiscal year. We expect CapEx of $130 million to $140 million as we wrap up our current Chili's reimage program and continue to build new restaurants. As a result, depreciation expense is expected to increase $10 million to $20 million, continuing the trend we've mentioned during the past 2 quarters and consistent with our recent and ongoing investments in key initiatives, including the Chili's reimage, kitchen equipment, point-of-sale, back-office systems, new restaurant growth and fryers. Our anticipated G&A expense in fiscal 2015 is about $10 million higher than fiscal 2014 due to planning incentive compensation at target, coupled with technology expenditures in support of long-term sales driving initiatives. Interest expense will increase slightly due to higher debt balances in fiscal 2015. Excluding the impact of special items and assuming governmental renewal of the work opportunity tax credit retroactive to January 2014, our income tax rate should be around 31%. Naturally, this rate will rise or fall with higher or lower earnings. And finally, cash, free cash flow, defined as cash from operations less CapEx, is projected to be $180 million to $190 million and is inclusive of the projected cash settlement stemming from the California litigation mentioned earlier. We continue to maintain a balanced approach to our use of cash, through investing in the business, debt amortization, quarterly dividends and an appropriate cash reserve, with the remainder dedicated to share repurchase. The net effect projects a weighted average share count for full year fiscal 2015 between 64 million and 66 million, continuing to play a significant role in our projected EPS growth. That concludes the guidance for fiscal 2015. And before we turn the call back to Wyman for final comments, I wanted to make you aware of the change to the press release going forward. Beginning with the first quarter of fiscal 2015, we will report comparable restaurant sales figures only by quarter and will not provide period figures. We believe this change will eliminate the volatility created by calendar and promotional shifts that sometimes occur from period-to-period, which will provide a more accurate representation of the comp sales performance. With that, I'll turn the call back over to Wyman to share a final comment before we open up the call for questions.
Wyman T. Roberts: So to wrap things up, we finished fiscal '14 with a 10.4% fourth quarter and a 15.8% full year growth in EPS. These results demonstrate again our ability to deliver sustained value to our shareholders. Going forward, we will continue to drive top line growth, while enhancing the experience of our key members and guests through initiatives that strengthen our brand relevance and further differentiate us from our competitors. In fiscal '15, we will continue to innovate our menus with Fresh Mex variations, new differentiated products and lighter take options. We'll leverage technology to launch a loyalty program and enhance our guests' experiences at the table, online and on their mobile devices. We'll offer consumers a new experience with at-home entrées available from the frozen aisles of their national grocers. And we'll continue new restaurant expansion in a measured way within all 3 divisions of our business. All of these initiatives will help generate EPS in the range of $3 to $3.15 as we continue toward our company goal of doubling fiscal 2012 EPS to $4 by fiscal 2017. And with that, we can now open the line for questions.
Operator: [Operator Instructions] Your first question is coming from John Glass.
John S. Glass - Morgan Stanley, Research Division: It's Morgan Stanley. 2 questions about the guidance. First, can you just talk about CapEx? It was a little heavier, I think, than I had thought in 2014 and '15, so maybe you can talk about what that is, and if you still think you can get it to $100 million by 2016, or is it just a timing issue. And can you just talk about your free cash flow of $180 million, $190 million for next year? Does that include or exclude the legal payment you expect to make?
Marie Perry: John, this is Marie. Before I answer those 2 questions, I do want to -- in my prepared remarks, I mentioned that depreciation expense is expected to increase. It is actually $10 million to $12 million. I think I said $10 million to $20 million. So I just want to make sure, as it relates to the guidance, that that's correct. And that is stated in the press release as well. But as it relates to our CapEx guidance, it -- actually, from fiscal '14 to fiscal '15, it actually did go down. And to your point, when we think about what the CapEx is for the current year and what it looks like going forward, we actually have a little bit higher cost in '15 than I think what we initially communicated in terms of investment cost for the new unit build. There is also some slight incremental and discretionary. And then we actually saw an increase in the discretionary spend related to maintenance CapEx and FF&E. As we look forward, we still expect our CapEx to decline. We will always look for opportunities for investments, and those investments have to pay off. But we will expect to see that CapEx to continue to decline.
John S. Glass - Morgan Stanley, Research Division: And what about the free cash calculation? Does that include legal settlement or is that outside of that?
Marie Perry: It does. The free cash flow does include the free -- the litigation settlement.
John S. Glass - Morgan Stanley, Research Division: Okay. And then just 1 other on the guidance. You're on this journey to this 500 basis point margin improvement. You didn't really talk a lot about how the initiatives you put in place so far really impact '15. Is that because they've sort of cycled now and we're really just depending on sales leverage and other things? Or are there other mitigating factors?
Marie Perry: Yes. So our goal was 400 basis points by fiscal '15. And based on our guidance, we will absolutely get there.
John S. Glass - Morgan Stanley, Research Division: And how much of that is in that 25 to 50 basis points?
Wyman T. Roberts: It's part of the -- John Wyman. That -- the initiatives, we didn't talk to them specifically because they're kind of all rolled out, so now we'll roll through them and we'll get additional margin improvements, as Marie stated, primarily through sales leverage and a continued utilization of kind of leveraging the investments we made. But I think that gets us to our target by the end of '15.
Marie Perry: Yes.
Operator: And our next question is coming from Chris O'Cull.
Christopher T. O'Cull - KeyBanc Capital Markets Inc., Research Division: KeyBanc. Wyman, what can you tell us about the food product pipeline? And I understand you can't give specifics, but can you tell us what you hope to accomplish with the menu in terms of just shifting maybe consumer perception of the brand?
Wyman T. Roberts: Yes. Chris, I think we've gotten some real good insight, I think, over the last 18 months as to where we think we can create a better space for our brands, Chili's specifically, with regard to the menu. And Fresh Mex is a key component of that. And obviously, we're happy with the results we've seen so far with its introduction and development. And we think there are still -- what we know, there are still some very exciting future potential to kind of mine in that area. But we also have additional platforms, if you will, or areas that we think we can exploit based on insights that are unique to the Chili's brand and insights we've gotten from a lot of consumer research we've done to help us really map out a 3-year -- it's really a 3-year vision we have for the menu, and we're just starting on that journey. We're about probably 9, 10 months into it.
Christopher T. O'Cull - KeyBanc Capital Markets Inc., Research Division: One thing that was unique about the Fresh Mex was that it's really targeted at the core whereas the flatbreads kind of tried to go after a new user for the brand. The new platform that you're talking about, do you think it will really be going after the core user of the brand and trying to increase the frequency of that user?
Wyman T. Roberts: We're going to do both. So we think it's important for us to stay relevant with current users who are also evolving their tastes and their preferences. And so we've got to do -- we've got to make changes to the menu to really stay relevant with that group and keep them in the mix and actually increase their frequency. And we think, by doing that, we can also make ourselves more appealing to some folks that may not be as frequent or even users at the current time. If you think about Fresh Mex, the great example would be the bowls. So while some of that -- some of the items that we've rolled out, maybe the fajita enhancement was more geared towards maybe our core user. The bowls that we've rolled out at lunch and dinner, and they've been amazingly successful, really do open us up to a different target more. So it's a balance, to answer your question.
Christopher T. O'Cull - KeyBanc Capital Markets Inc., Research Division: And then one last one. You increased TV advertising spend this year. Do you think that was a good decision? And do you plan to continue increasing TV ad spend in '15?
Wyman T. Roberts: Well, we're not changing the percentage that we spend, so we'll grow marketing dollars. And we tend to think about the marketing budget more than just the TV ad budget, so we're holding our margins. We increased our margins a little bit last year because we had just kind of gotten behind and we saw an opportunity. We think by holding the budgets this year and growing the top line, that will add to the total marketing budget. And then, we'll invest that budget appropriately where we get the biggest returns. And while we know TV is a critical component of our marketing plan, we're also very excited about things like loyalty and digital and social. And as we start to roll out some of those new marketing programs, we may put more resources behind some of those because we think they'll deliver better returns. So we'll just continue to monitor the effectiveness of each of those spends and play that game as it kind of unfolds.
Operator: And our next question is coming from David Palmer.
David Palmer - RBC Capital Markets, LLC, Research Division: RBC. Just building on that last question, Wyman. So the -- on the TV advertising reinvestment, I mean I don't know exactly what percent increase you had this year on TV advertising spending, but I think it was a solid double-digit number, at least for the second half of the fiscal year. Do you feel like -- going into this next year, the digital stuff in place of a big increase in TV advertising can keep that gap to the industry that you've been running? What are your thoughts on that?
Wyman T. Roberts: Yes. I think -- I don't think it was quite as high as you may think in terms of the increase. I mean we -- you can look at the basis point improvement, but it was significant. It was kind of a catch-up for us. It wasn't a major change in our overall marketing strategy. But points help, right, if you're message is right. And so I think we're constantly evaluating, okay, the actual weight levels. But more importantly, I think, now, we're so excited about the message that will be on those -- that we'll be delivering with those points. And so we think we've got enough exciting new news and other marketing ideas coming out of the group that will more than offset what we may see in terms of a leveling off of TRPs. But we don't see ourselves reducing the spend, but we don't see ourselves having to chase sales through increased marketing spend. And it kind of goes -- David, just to that point. And I know we didn't talk a lot about the 400 basis points in the margin improvements that we've made over the last years on this call. I just want to make sure that everyone realizes that we're totally committed to the margin improvements we've made and the business model we've established over the last few years. Obviously, our guidance shows us increasing margins again. But as a company, both Chili's and Maggiano's, we understand the importance of growing traffic and growing sales. And with that, we think there is even more opportunity to grow margins. And so that's kind of where we're at with that. So with the marketing question specifically, we're hesitant to give up margin to go after sales. We think we've got to find better, smarter ways to do that because we've worked too hard to get the improvements we've gotten in the business model.
Operator: Our next question is coming from Jeff Bernstein.
Jeffrey Andrew Bernstein - Barclays Capital, Research Division: Wyman, it's Jeff Bernstein. A couple of things to follow up on. One, suppose you talk about that free cash in fiscal '15, I think you said $180 million plus. But if we assume, like you said -- and the dividends, $60 million, $70 million, should we, therefore, be assuming a more modest share repo in the $100 million range? Maybe down from the $200 million to $300 million the past couple of years or am I misinterpreting that? Maybe there's a chance for leverage or using some existing cash. Just trying to think about the dollars that will be left over for share repo after, I guess, this litigation settlement. And then I have a follow-up.
Marie Perry: Yes. Jeff, this is Marie. So our guidance for WAS is $64 million to $66 million. And to your point, we will be able to buy back shares, not just with cash from operations or free cash flow but also the ability to borrow debt, but within the guidance of staying investment-grade.
Jeffrey Andrew Bernstein - Barclays Capital, Research Division: Okay. So is it reasonable to assume you can get to kind of that $200 million that you guys had talked about pacing yourselves at?
Marie Perry: Yes.
Jeffrey Andrew Bernstein - Barclays Capital, Research Division: Great. And then just as you look at the portfolio, and it seems like maybe we're going to see a little bit more growth in that, I'm just wondering if you can give any updated thoughts on maybe the company-operated versus franchise mix. It would seem like you could generate lots of, I guess, incremental proceeds for share repo and other things. And obviously, you'd mitigate on the ongoing operating cost volatility if you were to refranchise. I'm just wondering whether franchisees can absorb some incremental units or whether your thought process has changed on where you want that mix to go over the next few years. It seems to have -- you made a decision to stall that out, it's few, but I don't know whether that might accelerate again.
Wyman T. Roberts: Yes. I mean, we're constantly evaluating franchise or refranchise opportunities. I mean, last year, we actually -- we bought restaurants with the Canadian acquisition, so we're always looking. I think before we would franchise, the question we always ask is, why would you basically sell a brand or a business when you still see a lot of upside potential? And so that's the reason we haven't been aggressively looking or doing franchise deals, if you will, outside of the current base. And we still, obviously, with our growth projections and our target for 2017 at $4, within the current structure, we think we can generate some really good returns for our shareholders with this mix. But again, it's something we pretty much constantly evaluate and it's almost a market by market, partner-by-partner decision. So you never can tell what's going to pop up. But right now, we're comfortable that within the model we have over the near future, we like the mix we're running.
Jeffrey Andrew Bernstein - Barclays Capital, Research Division: Got it. And then just lastly, if I could. I think you said the comps, you were thinking 1% to 2%. I'm just wondering where you think the industry is going to play out relative to that 1% to 2%. And if you want to make any comment on the new platform you talked about for later in fiscal '15 to support that.
Wyman T. Roberts: Well, with regard to the industry, our hope, which is not a great strategy, but our hope is that the economy continues to strengthen. And everything that we can see is that, while casual dining has been getting -- taking its lumps lately, there is a desire to eat out more often and eat out in casual dining. I mean a lot of the shift is happening not just because fast casual has a good product, which they do, but because people just don't have the additional income that sometimes comes with a casual dining experience and taking the family and doing that more sit-down experience, but they want to experience that. In the research I've seen, they're missing it. And so with better economic times, they'll enjoy that more. So I think the key to what goes on with the category is really what goes on with the economy. And we're optimistic but cautious on that. So I think the trends will get better, but I don't know exactly how much better. We're not counting, in our results, on the category getting significantly better. So we kind of say, "Hey, listen, this is the world. Let's assume this is the world. If it gets better, then we'll get better with it." With regard to the platform that I'm teasing you with, I just can't go too deep into it because it's proprietary, and we -- but we are excited about where the Chili's team is taking the brand, both from an operations standpoint, as well as from a culinary standpoint. And there's some exciting stuff in development and in test restaurants that we're -- that we -- that bode well, I think, for future sales and traffic at Chili's.
Operator: And our next question is coming from John Ivankoe.
John W. Ivankoe - JP Morgan Chase & Co, Research Division: With JPMorgan. I wanted to get back to an earlier question regarding fiscal '16 CapEx. And of course, I ask that because it was specifically guided to under $100 million. So Marie, you've seem to have left the door open that, if you find a way to spend more money, you'll spend more money. But just give us a little bit more definitive answer in terms of how you think about that number today, as it's so important to the story. I'll have a follow-up.
Wyman T. Roberts: John, it's Wyman. I think those assumptions are still solid. I mean what we're just telling you is, "Hey, listen, if something comes up," -- fryers last year, right? So there was $20 million in fryers that were in the plan and they were a great return, so we rolled them out. And that would have taken -- if we were doing those in '16, if that idea has come up in '16 and we were at $100 million, then we would have been at $80 million. It would have been a smart thing to do. I'm sorry, we've been $120 million and it would have been a smart thing to do. So our baseline assumptions are still in line with that.
Marie Perry: Yes.
Wyman T. Roberts: We just want to let you know that we're constantly looking for ways to generate better return. And if we can find them, then we'll bring them to you. And we've done that in the past. And -- but right now, I think that base assumption is still a good assumption.
John W. Ivankoe - JP Morgan Chase & Co, Research Division: Okay, and understood. In the context of generating a better return, what has the initial experience with Ziosk taught you about potential changes or tweaks to your labor model, to your service model in the stores?
Wyman T. Roberts: Well, again, Ziosk hasn't been rolled out to our restaurants as a huge labor savings initiative.
Marie Perry: Correct.
Wyman T. Roberts: And we look at it as an enhancement to the guest experience through entertainment, through them being able to pace their experience more to their desired need. And as a service enhancement for our team members, but we didn't go in with a basis point labor reduction expectation. That said, our operations team is running as efficient a front end back of the house as Chili's has ever run. And so -- and our goal is to put as much money as we possibly can in our servers' pockets by giving them as many guests to wait on without sacrificing the guest experience, and so we're constantly monitoring that. The one thing that we get out of Ziosk is a lot of really, really good data on how we're doing on that objective. I mean we've got more guests providing feedback to us than anyone -- I don't think anyone in the retail space has the kind of data we have now through our Ziosk system. And so how good we are at managing that data to deliver a better guest experience is where we think the payoff is versus a margin improvement in reduced labor.
John W. Ivankoe - JP Morgan Chase & Co, Research Division: And do you think that we've fully seen the average ticket impact in terms of add-ons, extra drinks, what-have-you, from Ziosk? Or might that be a further event until 2015? And also what's the experience of percent tip, if you know what that is, versus the regular credit cards, I guess?
Wyman T. Roberts: Well, back to -- Ziosk isn't a one-time event for us. I mean this is a -- it's kind of a living thing. I mean it's a computer, if you will, that gets reprogrammed multiple times during the year. So we anticipate generating additional revenue interest from our guests with new rollouts. I mean we've got several rollouts in test and in development that will take that device and provide a different experience. So to say that we've seen everything we're going to see out of it because now it's been out there 6 months is not the way we look at the investment. The investment really is -- I mean it just got rolled out, and we're now excited about -- the loyalty program is a great example. What we're going to try and accomplish with loyalty will be unique to us because we have those systems. And what that does and generates, we'll see, but it does give us a different platform to play that game on than our competitors.
John W. Ivankoe - JP Morgan Chase & Co, Research Division: And the percent tip, has that changed at all with Ziosk with people that are using the device?
Wyman T. Roberts: A little bit, a little bit. We've seen higher credit card usage because so many of our guests now use it to check out. And so that's actually had a little bit of a cost, it's put a little bit of pressure on us, but we think it's well worth it because we now have guests paying and controlling that part of their experience a little more freely. It also should generate some quicker table turns and allow us to maybe drive throughput and have some benefits there that allow us to become more efficient. So there are other ways to drive efficiency and margin and sales out of the Ziosk platform than just expanding the number of tables a server gets because you're expecting your guests to do the labor.
Operator: And our next question is coming from Sara Senatore.
Jonathan Wing: This is Jonathan, in for Sara Senatore, at Bernstein. Just a question about long-term guidance in that $4 a share target by 2017. If you could just walk us through how you guys are planning to get there again that will be very helpful.
Marie Perry: Well, in terms of the $4 EPS, what we -- our long-term goal is really -- there's a slight portion of margin improvement that's really driven by leverage, there's the share repurchase component and then really just top line revenues, which we say is we're currently forecasting 1% to 2% comp store sales. And that number will gradually increase to get us higher revenues.
Wyman T. Roberts: On a 1% new restaurants growth aspect.
Marie Perry: Yes. So for Chili's, we're looking at 1% to 2% domestic growth. And for Maggiano's, 5% to 10% growth. And then with International, unit growth of 10% to 15%.
Jonathan Wing: And then on the margin line, in terms of thinking about sustainable drivers, I know you guys have made some progress on COGS and some of the labor. I guess is there anything in particular that you can point to through on a sustained basis that gives you a lot of confidence in having that expansion persist?
Marie Perry: I think to Wyman's point earlier, when we think about margins, so if you think about the past several years, margins has really been the #1 story and -- to getting to that 400 basis points. The expectation going forward is driving top line sales while really holding margins. But at the end of the day, when you drive your sales, you get that leverage and you will improve margins. So the focus internally, and you'll see our efforts in terms of investments, are around opportunities to strengthen the brand and increase guest engagement and to grow traffic.
Operator: And our next question is coming from Steve Anderson.
Stephen Anderson - Miller Tabak + Co., LLC, Research Division: Yes, from Miller Tabak. A question this time on Maggiano's. I mean you announced in here you're going to have a lighter entrées like a reduced calorie menu selections at Maggiano's. And so I wanted to ask what kind of effect this will have on menu mix and, particularly, on average ticket? I know one of your competitors in that space had a release of similar menu items out last year, but it really hurt average ticket. I just want to see if you -- what kind of impact you will anticipate.
Wyman T. Roberts: Steve, no, we don't -- we actually have had this menu in test for a quite a while. It's gotten great reviews and a strong preference. But we didn't take the approach of reducing the prices as much as just reconfiguring the recipes. So our lighter take isn't totally built on smaller portions and therefore you got to charge less, it's really more -- as much about changing some of the ingredients up and finding some culinary ways to lighten it up that way. Although what we heard loud and clear was our guests want the things they love at Maggiano's. And if we can give them to them with a great flavor and taste with less calories, that'd be great. Now these are not going to be 400-calorie entrées that you get at Maggiano's, it's relative. So they are lighter and they are healthier, but they are still pretty flavorful.
Operator: Our next question is coming from Peter Saleh.
Peter Saleh - Telsey Advisory Group LLC: Telsey Advisory Group. Sorry if I missed this, but I just got dropped from the call for a brief second. So on the Ziosk capability, when should we expect you to open up the functionality to be able to order from the entire menu?
Wyman T. Roberts: Peter, Wyman. I don't know if we'll ever do that. That's not necessarily on our radar screen. If you think about what it would take to actually order for a large party or any party through the Ziosk equipment, it would become fairly cumbersome. So that was never a stated objective of ours to get basically self-service on the tabletop. So we're going to continue to work with Ziosk, find opportunities to enhance the guest experience, find ways to make our servers as efficient as possible without negatively impacting the guest experience, but I'm not sure we'll ever get there. And right now, it's not even on the top of our list.
Peter Saleh - Telsey Advisory Group LLC: And then just on the World Cup, any sort of benefit you thought you may have gotten from the World Cup this summer? And if so, do you think that your retention ratio on new customers is fairly high?
Wyman T. Roberts: Our World Cup experience was mixed, I think, by market more, depending on kind of where we were at and the role our restaurants play in some trade areas and some neighborhoods. More of a sports, an avenue to go watch sports, and to some, not as much. But we definitely have stories and saw some improvement in the business. But it wasn't a significant amount. It wasn't like it was driver for our business results in the quarter. I do believe -- our belief is that with the changes we made at Chili's in general, the people that are coming in and the guests that are coming in now are getting a better experience, and that drives frequency. So any new guests we bring in, we're comfortable that they're going to be coming back more frequently than they have in the past.
Operator: [Operator Instructions] Our next question is coming from Bob Derrington.
Robert M. Derrington - Wunderlich Securities Inc., Research Division: Wunderlich Securities. Wyman, a couple of questions. One, given the remodels that you've done for Chili's so far, clearly, the bar area appears to be dramatically or substantially improved from what it was before. You use your e-mail club and communication with guests pretty effectively. Is there an opportunity to better communicate the opportunity to come in and use Chili's, for example, during World Cup times or sporting events? Have you thought through that?
Wyman T. Roberts: No. I actually -- but we actually do. I know the database is segmented as best we can. And it's going to get so much better, our ability to talk specifically to our guests based on their kind of preferences as we go to loyalty, but -- even today. So I don't know, Bob, are you on our database?
Robert M. Derrington - Wunderlich Securities Inc., Research Division: I am.
Wyman T. Roberts: And do you have kids or family or...
Robert M. Derrington - Wunderlich Securities Inc., Research Division: Some of -- all the above, yes.
Wyman T. Roberts: Yes. Well, just to tell you, the reason I asked you is because we can kind of tell what you like. And so you may be getting offers -- because I have some people that work with me that don't have families and we send them a lot more information about the bar. And we may be sending you more information about family offers or kids offers or just entrée offers. So to answer your question, we actually do it now, but we try and target through the e-mail database who is more appropriate for that message. And obviously, Bob, we're thinking you may not have been, obviously, our biggest drinker on sports events.
Robert M. Derrington - Wunderlich Securities Inc., Research Division: Maybe I need to change my profile.
Wyman T. Roberts: There is a profile there, go in and update it. Now if you're looking for a beer and a game, we'll let you know about our happy-hour specials and some of the things that may be more appropriate for you.
Robert M. Derrington - Wunderlich Securities Inc., Research Division: Well, I appreciate that. Listen, as a follow-up, my other question is, in the fourth quarter, the combination of price and mix for Chili's was pretty dramatic, very impressive, the fact that, together, it was considerably better than what your nominal comp number was. How should we think about that going forward with your comp guidance of 1% to 2%? Should we expect that mix and pricing will be greater than those?
Wyman T. Roberts: I don't know about greater. I think what you saw was, again, with the Fresh Mex and the rollout of fajitas, we -- fajitas are a nice check build for us and we got a lot of add-on build with guacamole. And so, those -- that -- the rollout of Fresh Mex did some nice things for check from that perspective. I don't think we're going to see that trend continuing necessarily. I mean it will -- it's in the base now and we move from there.
Robert M. Derrington - Wunderlich Securities Inc., Research Division: Was -- I'm sorry, just to follow up on that. On the 1.9% mix in the quarter, was that driven by that? Or was it the delivery program, the large ticket order delivery program you rolled out? Any kind of color there?
Wyman T. Roberts: It was absolutely Fresh Mex and, primarily, the fajitas, which are a higher-priced menu item for us.
Operator: Our next question is coming from Jeff Farmer.
Jeffrey D. Farmer - Wells Fargo Securities, LLC, Research Division: Wells Fargo. I just wanted to follow up on some of the category trends discussion that you were having earlier on the call. I think in the past, you'd pointed to disposable income or household incomes and some of the, obviously, the employment headwinds as a reason you're seeing sort of this persistent negative transaction in the world of casual dining. But I'm really curious, at this point, you've been with us for a while, from a supply-demand standpoint or just capacity rationalization, are we getting any closer to sort of ridding ourselves of this excess capacity in the industry? That's the first question. Then secondarily, also curious how you guys are approaching the millennials. How important are they to you? And any secrets to getting them to continue to come to the restaurant, maybe that would be helpful.
Wyman T. Roberts: Okay. To your first question that the -- we like to say it's almost impossible to kill a restaurant. I mean there's so much invested in it that to get one to just go away is very difficult. So we assume that you're going to have people that are going to cycle down and they'll start to -- they shrink, but to actually go away is a very difficult thing to happen just because of the way the industry is structured, I think. But we are going to see winners and losers. I mean we believe there is a shakeout that's happening, right? I mean you're seeing it today. And through that shakeout, there will be winners and there will be those that aren't as successful. And we still believe in the category. We think it's got a lot of opportunities. A lot of the folks they're just going to struggle. And again, when we talk about the bar and grill, I know we like to focus on the folks that we track and the people that are publicly traded, but 44% of bar and grill is independents and small chains. And they're under a lot more pressure. And oftentimes, within -- even the math number was driving that or a lot of the smaller concepts that we don't have as much visibility into. And those guys do go away more often than some of the big concepts. And so I do think we're seeing that shakeout. I think the leverage that we have is a bigger concept in things like technology to, now, bridge over to your millennial question, that's one of the things we think is compelling for millennials. It's to engage them the way they want to be engaged. So in social, on their mobiles, they want loyalty more than any other demo based on some recent research I've seen. They want fresh quality food, obviously, things like Fresh Mex. If you look at some of the fast casual guys out there that have done fairly well, I won't mention names, they seemed to be trading fairly well with the millennials, so the product offer has to be right for them. And so we're working on all those fronts because, again, we have a good base in millennials, but we think we have to grow that as well.
Operator: And our final question is coming from Steve Anderson.
Stephen Anderson - Miller Tabak + Co., LLC, Research Division: Miller Tabak. I just want to follow up with regard to the competitive landscape. And without mentioning a particular quarter-to-date performance, I know one of the major competitors had an offer for free appetizers for $10. And I just want to see if you've sensed another round of extreme discounting coming or you think the pace of that starting to level off? I mean what's your view on that?
Wyman T. Roberts: Steve, we've been pretty consistent over the last 3 years. It is hard to tell what competitors are going to do. And I think they look for short-term solutions to probably longer-term issues. You're going to see some of them do some more aggressive things. And our strategy is that that's not the long-term solution. So we're going to focus on an overall value proposition that's embedded in our menu. And as we just focus on making sure our value proposition is strong, we tend to weather these shorter-term promotional, limited time things fairly well. It doesn't mean they don't have an impact. And I know, on some of them, they're probably seeing some positive results, but they're just not that sustainable. So why confuse your guests with something you can't deliver day in day out, and why put your operators through that process is kind of where we net. So I don't know if it's going to get any more or less aggressive. We just kind of continue to work our strategy, which is manage the value proposition, understand what your consumers want, do it in a way that gives your operators a chance to delivering consistently day in and day out on that value proposition, and compete from that point of view.
Operator: There appears to be no further questions in the queue. Do you have any closing comments you'd like to finish with?
Wyman T. Roberts: Yes. Thanks, everyone, for your participation today on the call. We look forward to speaking to you again on October 21 as we go over our first quarter results. Thank you.
Operator: Thank you, ladies and gentlemen. This does conclude today's conference call. You may disconnect your phone lines at this time. And have a wonderful day. Thank you for your participation.